Operator: Ladies and gentlemen, greetings. Welcome to Gulfport Energy Corporation's Second Quarter 2024 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jessica Antal. Please go ahead.
Jessica Antle: Thank you, and good morning. Welcome to Gulfport Energy Corporation's Second Quarter 2024 earnings conference call. I am Jessica Antle, Vice President of Investor Relations. Speakers on today's call include John Reinhart, President and CEO; Michael Hodges, Executive Vice President and CFO. In addition, we also have Matt Rucker, Senior Vice President of Operation will be available for the Q&A portion of today's call. I would like to remind everybody that during this conference call, the participants may make certain forward-looking statements relating to the company's financial condition, results of operations, plans, objectives, future performance and business. We caution you that, actual results could differ materially from those that are indicated in these forward-looking statements due to a variety of factors. Information concerning these factors can be found in the company's filings with the SEC. In addition, we may reference non-GAAP measures. Reconciliations to the comparable GAAP measures will be posted on our website. An updated Gulfport Presentation was posted yesterday evening to our website in conjunction with the earnings announcement. Please review at your leisure. At this time, I would like to turn the call over to John Reinhart, President and CEO.
John Reinhart: Thank you, Jessica, and thank you to everyone for listening to our call. During the second quarter, Gulfport's operational, planning and financial teams continued successful execution of our corporate plans to lower operating and capital costs, maximize free cash flow generation, return capital to shareholders and enhance the company's high-quality inventory. Our teams in the field continue driving operational improvements, resulting in capital savings on our full year development program and delivering positive free cash flow during the quarter despite a volatile pricing environment. We continued our commitment to returning capital to our shareholders through common share repurchases, while also reinvesting in our attractive and diverse asset base, through discretionary acreage acquisitions. The company realized another record-setting quarter in the field, while delivering on a prudent 2024 development plan, all of which contributed to strong financial performance and underscores the execution sustainability of the corporate strategy. Looking at our second quarter highlights, the company generated $164 million of adjusted EBITDA and $20 million of adjusted free cash flow. Our average daily production totaled 1.05 billion cubic feet equivalent per day, in line with our first quarter 2024 average and analyst expectations. Considering actuals to date and future planned activity, the company has narrowed 2024 production guidance and forecast full year production to be in the range of 1.055 billion to 1.07 billion cubic feet equivalent per day, with the midpoint remaining unchanged. Operationally, during the second quarter, the company completed drilling on five gross wells, three within Ohio targeting the Utica formation and two in the SCOOP targeting the Woodford. We entered the quarter with two operating drilling rigs running and as planned released the SCOOP drilling rig following the completion of a three well extended lateral pad. We currently have one rig running in Ohio and plan to resume SCOOP drilling during the fourth quarter of 2024. On the completions front, we turned to sales four well dry gas pad in Utica during the quarter. And as noted in the opening comments, the team's continuous improvement focus led to several new execution records. We achieved a new record on our daily frac pumping hours, improving our quarterly average to 21.9 frac pumping hours per day in the Utica, up 28% over the full year 2023 and an improvement of 54% over the full year 2022 results. Furthermore, our Utica frac provider set another company record for all of its U.S. pressure-pumping fleets, pumping continuously for over 31.5 hours, significantly surpassing their previous record of 23 hours. These efficiencies and corresponding cycle time reductions play an integral role in enhancing our development program deliverables and corporate level returns. Due to the team's strong execution, we forecast the company will realize over $25 million in capital savings on our full year 2024 drilling and completion budget. As we continue to navigate a volatile commodity environment, the company is retaining its flexibility to subsequently employ these savings, pending assessment of the commodity environment later in the year. Allocation options include development of our high-quality assets, incremental shareholder returns, further balance sheet improvements or enhancing the company's inventory runway. Maintaining the company's top tier financial position allows us the optionality to be responsive to the market and act quickly to maximize shareholder value. Considering the pending allocation of our capital savings, we are currently maintaining our full year capital guide. Highlighting our focus on more liquids-rich directed activity during 2024, the company completed frac operation on 4 gross condensate drills in Harrison County, Ohio during the quarter. This condensate pad is the first to reach completion following our shift to more liquids-rich weighted activity in the Utica as well as the first Gulfport condensate pad to be turned to sales since the second quarter of 2020. When compared to Gulfport's historical activity in the area, even our recent dry gas Utica activity, we realized significant improvements in operational performance. Our total drilling footage per day for this pad improved 100%, when compared to historical Utica liquids-rich drilling results. And looking at recent quarters on our Utica dry gas metrics, our footage per day improved over 25%. Overall execution efficiencies resulted in us delivering these wells, under budget and online roughly two weeks ahead of schedule. We are very pleased with the initial production results, which we will share in more detail on the next quarter's call. We have recently completed drilling our second four well Utica condensate pad in Harrison County, Ohio with further efficiency gains realized. And when considering the operational performance, attractive early production results and subsequent implied economics, this reinforces the company's prudent shift towards increased liquids-rich development. Turning to our Marcellus development. We continue to be very encouraged as we gain more production history on the company's first two operated Marcellus wells on our stack pay in Belmont County, Ohio. When normalized to a 15,000 foot lateral, the wells delivered an average 180 day initial production rate of approximately 715 barrels per day of oil and 5.7 million cubic feet per day of natural gas. These wells continue to exhibit strong oil production and when normalizing the production by lateral foot, are producing nearly double the amount of oil after 180 days online, when compared to the average Marcellus wells in Monroe County, Ohio and over 40% more oil after 180 days online than wells across the river in West Virginia. Production results on this pad, along with existing industry offset development in Ohio and West Virginia, reinforces the favorable economics forecast on our roughly 50 to 60 Marcellus locations across Belmont County, Ohio. In addition, the company is closely monitoring peer Marcellus development in Ohio that would assist in further delineating the western boundary of the play, where the company possesses acreage held by Utica production. Pending the outcome of these efforts, there is potential to add incremental inventory to the company's Marcellus portfolio. The returns on our Stack Pay Marcellus inventory are attractive and compete for capital within our portfolio. And we reiterate our plans to begin drilling a four well Marcellus development on an existing Belmont County Utica pad in early 2025. Also, the company continues discussions with third-parties for midstream gathering and processing capacity. And based on current status, we believe a solution will be in place to meaningfully enhance the development economics with NGL realizations on our planned 2025 Marcellus activity and beyond. Turning to land capital expenditures through June 30, 2024, we have invested roughly $34 million on maintenance, leasehold and land investment, focused on bolstering our near-term drilling program, with increases of working interest and lateral footage in units we plan to drill near-term and reaffirm our 2024 budget of $50 million to $60 million. In addition, as outlined in our earnings announcement yesterday evening, the company is providing further detail regarding discretionary acreage acquisitions being pursued this year. These acquisitions expand our high-quality resource steps and will provide optionality to our near-term development plans. The company has been actively pursuing these opportunities, investing roughly $19 million during the second quarter of 2024 and plan to allocate approximately $45 million in total of our adjusted free cash flow during 2024 to these efforts. Depending on the phase window and anticipated well spacing, we anticipate this level of discretionary acreage acquisitions will add roughly one to one-and-a-half years of core inventory drilling at our current development pace. These targeted liquids-rich focus areas for acquisition and delineation add years of high margin, low breakeven inventory to the company's portfolio. And when looking at year end 2024 compared to the beginning of 2023, the company will have added approximately 4.5 years of inventory through these efforts. In closing, the continuous optimization of our development program emphasizes the free cash flow generation capability of the company and highlights the team's efforts to lower expenses and capital costs, expand realized pricing, enhance inventory and prioritize the highest margin development within our robust, low-breakeven inventory at a prudent pace. We believe the gains realized to date will create long-lasting improvements in our operations going forward, allowing Gulfport to reduce our future maintenance capital requirements on comparable drilling programs or deliver more activity on similar base capital expenditures in the future. Lastly, core to our corporate strategy, we will continue the return of capital to our shareholders and excluding discretionary acreage acquisitions, expect to allocate substantially all full year 2024 adjusted free cash flow towards common stock repurchases. Now, I will turn the call over to Michael to discuss our financial results.
Michael Hodges: Thank you, John, and good morning, everyone. Despite the low commodity prices seen during the first half of 2024, the company generated healthy free cash flow and continued returning value to our shareholders, all driven by the capital efficiency gains and impressive operational improvements, John mentioned earlier in the call. Net cash provided by operating activities before changes in working capital totaled approximately $149 million during the second quarter, more than funding our capital expenditures for the quarter. We beat analyst expectations for incurred capital spend and adjusted free cash flow, driven by our strong operational performance, top tier hedge book and operating cost performance. With less than 40% of our base D&C and maintenance land spending left to occur in 2024 and with an improving commodity price environment expected later in the year, the second half of 2024 should deliver accelerating adjusted free cash flow that will provide a strong tailwind as we enter 2025. Our all in realized price during the second quarter was $2.93 per Mcfe, including the impact of cash settled derivatives. This realized unit price is $1.04 or 55% above the NYMEX Henry Hub Index price, highlighting the benefit of Gulfport's differentiated hedge position, diverse marketing portfolio for natural gas and pricing uplift from our liquids portfolio in both of our asset areas. We've realized a cash hedging gain of approximately $91 million for the quarter, demonstrating the value of our hedge book and its impact to our cash flows. Our natural gas price differential before hedges was negative $0.26 per Mcf compared to the average daily NYMEX settled price during the quarter, and we reaffirm our natural gas differential before hedges to average $0.20 to $0.35 per Mcf below NYMEX for the full year. In our investor presentation posted yesterday evening, we have added a slide that highlights the strategic connectivity of our firm transportation portfolio, which provides access to diverse and premium markets, ultimately improving our realizations and cash flows. Approximately 10% to 15% of our natural gas has firm delivery to the Gulf Coast at TGP 500 Lake Pool and Transco Station 85, providing Gulfport with direct exposure to the growing LNG corridor and industrial demand centers and significant premiums of $0.30 to $0.40 above Henry Hub in future periods. On the capital front, incurred capital expenditures totaled $106.2 million related to drilling and completion activity and $16 million related to maintenance, leasehold and land investment. Through the first half of the year, we have now spent approximately 62% of both our D&C capital and our maintenance land capital for 2024 based upon the midpoint of our guidance. Our operational efficiency improvements, robust hedge position and healthy balance sheet and strong cash margins provide significant flexibility, as we consider the proper setup for 2025 and plan our activity as we enter, what we believe will be a stronger commodity price environment. With respect to our current hedge position, we are pleased to have downside protection covering nearly 65% of our remaining 2024 natural gas production at an average floor price of $3.63 per MMBtu. As I have stated previously, it as become even more relevant with the recent softness in natural gas prices, we believe both the scale and quality of our natural gas hedge book differentiates Gulfport in its ability to play offense in delivering value to our shareholders during 2024, while others play defense, fortifying their pressured balance sheets or protecting their base dividends. We continue to opportunistically add to our foundation of hedges for 2025 and currently have natural gas swap and color contracts totaling approximately $430 million cubic feet per day or more than 40% of our gas production assuming 2024 levels at an average price of $3.64 per MMBtu. To be clear, we believe gas prices should improve in 2025 and have carefully chosen to maintain significant upside in natural gas prices in 2025 and 2026 by utilizing collar structures for nearly half of our 2025 downside hedges that allow us to participate in prices well above $4 per MMBtu. On the basis front, we have locked in over 40% of our remaining '24 natural gas basis exposure and have a similar base of hedging covering our anticipated 2025 basis exposure locked in at comparative prices, providing pricing security at our largest sales points in addition to the risk mitigation efforts of our diverse portfolio of our fleet. Turning to our balance sheet. Our financial position remains strong with a trailing 12 month net leverage exiting the quarter below 1x and our liquidity totaling $707 million, comprised of $1.2 million of cash, plus $706.2 million of borrowing base availability as of June 30, 2024. Our liquidity today is more than sufficient to fund any development needs we might have for the foreseeable future and provides tremendous flexibility from a financial perspective going forward. As we are positioned to be opportunistic should low gas prices give rise to dislocations that allow us to capture value for our stakeholders? We continue to view share repurchases, as a compelling capital allocation opportunity. And during the second quarter, we have repurchased nearly 161,000 shares of common stock for approximately $25 million. As of July 29th and since the inception of our program, we had repurchased approximately 4.8 million shares of common stock at an average share price of $96.42 lowering our share count by approximately 16% at a weighted-average price nearly 30% below our current share price. We currently have approximately $189 million of availability under the $650 million share repurchase program and plan to continue to return substantially all of our adjusted free cash flow to shareholders, through common share repurchases, excluding the discretionary acreage acquisitions, John mentioned earlier. While not included in our standard share repurchase program, in addition to the $25 million during the second quarter, the company also effectively repurchased an incremental 129,000 shares for $20.5 million of common stock related to the vesting of legacy equity awards during the quarter. In summary, we utilized our strong second quarter adjusted free cash flow of approximately $20 million along with our ample liquidity under our revolving credit facility to repurchase approximately $45 million of common stock and $19 million of discretionary acreage acquisitions during the quarter, all while keeping financial leverage under one turn. As we close out 2024 and look ahead to 2025, we forecast continued significant free cash flow generation and common share repurchases will remain as a key part of our return of capital strategy given we continue to believe that our shares are undervalued. Given this continuation of our existing plan with respect to shareholder returns, we anticipate expanding our current share repurchase authorization in the near future. To wrap up my comments this morning, our second quarter results reflect a consistent theme communicated in the past several quarters, continuous operational improvements, delivering solid financial results. We continue to succeed operationally on all fronts, delivering more with less, generating positive free cash flow and prudently allocating that cash flow, returning a significant portion to our shareholders through our common share repurchase program and reinvesting in high-quality accretive discretionary acreage acquisitions that enhance the underlying asset value of the company. With that, I will turn the call back over to the operator to open up the line for questions.
Operator: Thank you. [Operator Instructions] The first question comes from Bert Dons with Truist Securities. Please go ahead.
Bert Dons: Good morning, team. Thanks for taking our questions.
John Reinhart: Hey, Bert.
Bert Dons: On the $25 million of potential savings, it sounds like you remain flexible, could be used balance sheet buybacks or maybe pulling forward some activity. Could you maybe go through what you need to see in the markets to trigger additional E&P activity? Is it just price or is it stability or is it maybe a larger macro theme? And then, is that earmarked for dry gas or liquids or do you already have something set that would fill that gap?
John Reinhart: Yes, Bert. Thanks for the question. This is John. I think, first of all, to open, we are very pleased with the execution performance of the teams and to be able to actually continue a second year of capital savings through just pure efficiency gains and these are kind of long-lived gains. To our point, I think, what we wanted to do with this $25 million is take a pause for a few months and monitor. It's really about the general macro environment. There's a lot of volatility out there right now. As you would imagine, it's primarily related to oil pricing is what we are really focused on. Quite frankly, gas is pretty meaningful. But any kind of potential allocation to accelerated activity would be targeting more the oil and the condensate area. Overall, I think just the general outlook from the industry is going to be key, because as you know outside of the accelerated activity, we do have opportunities to apply that $25 million to the balance sheet and in doing so, quite frankly, incremental inventory add as well. So, we will be sharing with the market more over the next few months on how we are going to allocate that. We are very pleased to be in a position to have that $25 million to do so.
Bert Dons: That make sense. Then on acreage acquisition, just want to clarify your comments earlier. How that works on a free cash flow allocation versus buybacks? I think the wording you said was excluding discretionary acreage acquisitions. So are these not competing with each other? Are they competing with each other for free cash flow? If you find more or less acquisitions, do we expect fewer or more buybacks? Or, is there maybe some fungibility between the two?
Michael Hodges: Bert, this is Michael. I think you're making a great point this morning. We look at our options for allocating free cash flow every quarter with our Board of Directors, and those two opportunities consistently rate at the top of the portfolio. Quite frankly, to the extent that we can identify these liquids-rich, high-margin opportunities and get those into the portfolio, those are typically the highest and best use of capital. Our shares obviously move around, and so the value opportunity there can change from time-to-time. But I would think of it as kind of co-number ones in terms of our opportunity to buy either one. Certainly, to be able to add these inventory locations is something that we're always looking to do. We're competing with a number of others in the basin to be able to grab those. So I would think of it in terms of, let's grab as many of those as we can and then see where we sit with the remainder of our free cash flow.
Bert Dons: That's great. Thanks team.
Operator: Thank you. The next question is from Tim Rezvan with KeyBanc Capital Markets. Please go ahead.
Tim Rezvan: Thanks folks for taking my question. I want to start on sort of this liquids pivot that's underway. Based on your Marcellus success and kind of the condensate focused drilling going on now, how do you see that liquid SKU sort of evolving through 2025? Just from a big picture perspective and then to help us on the modeling side.
John Reinhart: Yes. Sure, Tim. Good morning and thanks for the question. It's very pleased to have made this decision here earlier in the year on the pivot. I think it was really geared for us as the company is sitting on a substantial amount of dry gas inventory and we certainly wanted to lean in on bolstering our liquids-rich inventory, the high margin low breakeven. As you think about the pivot and the cadence of turn on line and drilling, second half of this year, you're going to start to meaningfully see a reduction of 1% to 2% with regards to the oil percentage or the liquids cut in our commodity stream be realized. And further looking out into '26, that would certainly go down a few more percentage points and I would probably bracket it in the high 80s. We certainly are -- we have a very large dry gas base. So, I would anticipate that commodity mix meaningfully going below that mid-80s is probably not realistic. But certainly, moving down from the 92% gas into that high 80s over the next year-and-a-half is very reasonable. So hopefully that answers your question.
Tim Rezvan: Yes, that's helpful. Okay, thanks for that. And then just a quickie. Mountain Valley started up in July. Are you seeing it's not too far from you kind of the genesis of that? Are you seeing any basis impact in the region and do you anticipate that being a material positive for you all in Ohio?
Michael Hodges: Yes, Tim. This is Michael. I think the basis markets have been moving around a little bit, but to your question about material impact, the answer is, generally no. I mean, the areas that we sell our gas in basin into, a couple of the larger indexes, like I said, have varied maybe $0.05 to $0.10 over the last, call it, few months, but have not seen any material change. I think the market largely expected the MVP pipe to come on sometime here in 2024 and priced a lot of that in. So, we're focused on 2025 and beyond and really haven't seen a lot of change from those basis locations.
Tim Rezvan: Appreciate the comments. Thank you.
Operator: Thank you. The next question is from Jacob Roberts with Tudor, Pickering, Holt & Company. Please go ahead.
Jacob Roberts: Good morning.
John Reinhart: Good morning, Jake.
Jacob Roberts: Just circling back to the $25 million of savings that you've highlighted, is that something that's been accruing through the year or should we be thinking about those as showing up more meaningfully in the Q3 and Q4 capital that we've got planned? And then, John, I think you mentioned kind of an outlook on maintenance. Is it fair to say that, the baseline case for a maintenance program would be $25 million last next year?
John Reinhart: Yes, Jake. This is John. Thanks for the question. I think regarding the $25 million in savings and cadence, it is not currently. There's been no accrual to date. But what I can tell you is, as you think about that allocation of capital that we talked about previously, should that be way towards accelerated activity that would basically be included for our public deck in fourth quarter. So you will I will point you to that deck where we do have a hatched amount in Q4 of potential activity, again, should that be allocated towards accelerated activity which would benefit '25. And I reiterate again that, that allocation would be geared towards condensate development for sure, because that is at the current commodity environment, that's the highest return, highest margin where we could plant some capital with the drill bit.
Jacob Roberts: Maintenance? You want to talk about maintenance capital?
John Reinhart: Yes. Sorry about that. Thanks. With regards to maintenance capital, it's a very interesting. It's widely used, but it means a lot of things to a lot of people. What I would tell you is, we are very fortunate in the company to have a very diverse portfolio. We have SCOOP assets. We have Marcellus Liquids, Utica Liquids and Utica Dry Gas. All those come with their unique production profile, cycle times and capital cadence. What I would tell you directly to your question is, on a like-for-like program, moving forward into next year, you would most certainly see a reduction with regards to the capital cost. And as we look at '25 and continue to look at '25, we're going to be focused on that commodity environment and really focus development on the highest margin, highest return, which certainly could skew that mix of where we're drilling versus where we drilled this year. So very simply put, we feel like, this is a very positive thing that the teams continue to drive down cost and improve cycle times. It's going to be meaningful moving forward for many years to come, with our capital program reductions. And I would say, looking forward to '25, it will be certainly reduced or a flat type of profile for a low single-digits or flat production overall profile outlook that we would have. So hopefully that answers your question.
Jacob Roberts: Absolutely. I appreciate that. As a second question, I think you guys do a really good job of taking advantage of the share price and the repurchases. I'm just curious on your thinking as to, if you think, you could close the valuation gap by implementing something a little more permanent or formulaic?
Michael Hodges: Yes. Jake, this is Michael. I think, again, it's something that we talk to the Board about all the time and we're not formulaic in our approach, although we are pretty consistent with our framework in returning all of our substantially all of our free cash flow. So while we don't have quarter to quarter formulaic return, we do have a framework that we adhere to. I think last year, we have returned about 99% of free cash flow back to shareholders after those acreage repurchases. So, it's something that we look at. I think given our size and certainly our exposure to commodity prices on quarter-to-quarter basis, we like to keep things a little flexible. Quite frankly, we've got a large shareholder that we've been able to step in and repurchase alongside of when some opportunities presented themselves. So, I think we prefer the dynamic option, as opposed to the more formulaic approach, but we do talk about it consistently at the board level.
Jacob Roberts: Great. Appreciate the time, guys.
Operator: Thank you. [Operator Instructions] The next question is from Zach Parham with JPMorgan. Please go ahead.
Zach Parham: Thanks for taking my question. I guess, just wanted to follow-up on the $25 million in savings and how you allocate that. Does the stock price factor into the decision here, along with the macro environment? I mean, with the recent pullback in the share price, could it make sense to deploy those savings towards buybacks?
Michael Hodges: Hi, Zach. Appreciate the question. And yes, similar to Jake's question, I think we consistently look at the stock price and we like being dynamic in our ability to deploy capital towards that return. I think it's a factor. I think John mentioned earlier, the macro environment is a factor. We're looking out into next year. Any decisions to redeploy the savings into the development would be conditioned on kind of where we see the commodity prices next year. Certainly, also keeping in mind that, to the extent we can capture these locations that we found out there that we think are tremendously accretive to the NAV of the business, that's a factor as well. To your point, the answer is, yes. I mean, certainly, we keep all share price dictated that particular option being more attractive than the others, then we would certainly lean in there.
Zach Parham: Thanks for that color. And just my follow-up, I wanted to ask on the discretionary acreage acquisitions. Can you talk a little bit about how those locations compare to your current inventory? When would you expect to start developing these locations that you are adding now? Just curious kind of where those fit into the portfolio.
John Reinhart: Yes, Zach. This is John. It's a great question. I think similar to the program last year, we are targeting these liquids-rich kind of high-margin, low-breakeven areas for this discretionary program. The benefit of that to the company is our Utica position is largely held by production already. So bringing on these high-quality acreage positions that we could bulk up to have one or two pad developments in certain areas, it's very advantageous. So last year's program is an example within about 12 months to 15 months, when we have been able to actually begin the permitting process and we're looking to start drilling. So that's a very short time period and that kind of gives you an idea of where they fall within the allocation of capital and how we're prioritizing it. Quite frankly, the delineated acreage for the Marcellus ranks up there very high, because we're jumping on it and drilling it in early '25. Yes, we're targeting areas that are high margin for us, and with the team's capabilities we're able to quickly convert those resources into producing assets. I would probably look at a year to year-and-a-half post this year of seeing some of these new acreage acquisitions on the schedule.
Zach Parham: Thanks, John. Thanks, Michael.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I would now like to hand the conference over to John Reinhart for closing comments.
John Reinhart: Thank you for taking the time to join our call today. The team continues to improve business fundamentals, which further positions Gulfport Energy as an attractive investment, with optionality tactically and strategically for continuing value enhancement. Should you have any questions, please do not hesitate to reach out to our Investor Relations team. This concludes our call.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.